Operator: Good afternoon, and welcome to the Mitek Systems Fiscal 2022 Fourth Quarter and Full Year Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Todd Kehrli of MKR Investor Relations. Please go ahead.
Todd Kehrli: Thank you, operator. Good afternoon, and welcome to Mitek's Fourth Quarter and Full Year Fiscal 2022 Earnings Conference Call. With me on today's call are Mitek's CEO, Max Carnecchia; and Interim CFO, Fuad Ahmad. Before I turn the call over to Max and Fuad, I'd like to cover a few quick items. This afternoon Mitek issued a press release announcing its Fourth Quarter and Full Year Fiscal 2022 financial results. That release is available on the company's website at miteksystems.com. This call is being broadcast live over the Internet for all interested parties and the webcast will be archived on the Investor Relations page of the company's website. I want to remind everyone that on today's call management will discuss certain factors that are likely to influence the business going forward. Any factors discussed today that are not historical facts, particularly comments regarding our long-term prospects and market opportunities should be considered as forward-looking statements. These forward-looking statements may include comments about the company's plans and expectations of future performance. Forward-looking statements are subject to a number of risks and uncertainties, which could cause actual results to differ materially. We encourage all of our listeners to review our SEC filings, including our most recent 10-K and 10-Q for a complete description of these risks. Our statements on this call are made as of today, June 29, 2023 and the Company undertakes no obligation to update or revise publicly any of the forward-looking statements contained herein, whether as a result of new information, future events, changes in expectations or otherwise. Additionally, throughout this call, we will be discussing certain non-GAAP financial measures. Today's earnings release and the related current report on Form 8-K describe the differences between our non-GAAP and GAAP reporting and present the reconciliation between the two for the periods reported in the release. With that said, I'll now turn the call over to Mitek's CEO, Max.
Max Carnecchia: Thanks, Todd. Good afternoon, everyone. Thank you for joining us today. I'm very excited to finally report our full-year fiscal 2022 results. The listing of BDO has enhanced our financial controls and governance and while it temporarily impacted the filing of periodic fiscal reports, we are now a stronger business. Fiscal 2022 was another record year for Mitek, record revenue, record earnings, and strong cash flow from operations. Product innovation also continued during that time. We launched Mitek's integrated identity platform MiVIP, ID Live [indiscernible] and enhanced check intelligence within the Check Fraud Defender product. We were also awarded patents recognizing our commitment to Biometrics Excellence. This ongoing momentum reinforces our optimism about our long-term prospects and our ability to further penetrate our large target addressable markets. Quickly looking at the numbers for fiscal 2022. We reported record revenue of $143.9 million, representing growth of 20% year-over-year. We also generated record Non-GAAP net income of $40 million or $0.87 per diluted share, up 17% year-over-year, as well as strong cash flow from operations of $26 million. We accomplished a lot in fiscal 2022 beyond just our record revenue and earnings performance. We provided exceptional customer value through our world-leading banks, fintechs, and marketplaces as they are interested to move more of their businesses online in a secured and trusted way. Mitek continues to distinguish itself as a critical component in the fight against fraud, and during the year, we expanded the breadth of our product offerings and the markets we serve. With that now, let me touch on our two lines of business and their performance during the fiscal year. Our deposits line of business continues to grow in fiscal 2022 with revenue growth of 14% year-over-year. Mobile check deposit is used by over 7,500 financial institutions and continues to gain traction to consumers due to its convenience and ease of use. Adoption of our Check Fraud Defender product also increased as losses associated with Check Fraud started to skyrocket. Check Fraud Defender helps things identify and defend against these fraudulent activities, significantly reducing fraud losses and our most recent innovation Check Liveness enhances the detection of forgeries and synthetic checks. We added several new Check Fraud Defender customers during fiscal 2022 and we believe it will be a growth driver for our deposits business for years to come. Before we move on to our identity business, I'd like to provide a quick update on USAA's litigation situations. While Mitek is not according to any of the USAA lawsuits, we continue to pursue our declaratory judgment action against USAA to prove that our products do not infringe the four auto capture patents at issue in the USAA lawsuits as we look to provide support to our banking clients. Along with our efforts, there have been some positive developments in the matters related to USAA as the US Patent Trial and Appeal Board, or PTAB has in the last six months invalidated five of the USAA patents that they have been relying on to sue various financial institutions. Two of which are related to auto capture. We expect the PTAB to invalidate more USAA patents in the coming months as they continue their review of additional USAA acts, including one additional USAA patents related to auto capture. We also intend to continue to vigorously prosecute our case as Mitek intended to all of its core technology, and we believe our products do not infringe on any USAA patents. Switching to identity. I'd like to take this opportunity to highlight the tremendous market opportunity that lies within this sector. As the world becomes increasingly interconnected and digital, the need for robust identity verification solutions has never been more crucial. Financial crimes are becoming more sophisticated posing significant risks to individuals and organizations alike. The rapid rise of digital transformation has created a demand for seamless and secure online experiences. Mitek is at the forefront of addressing these challenges by providing AI and biometrics identity verification solution that not only mitigate risks but also enables smooth and trustworthy interactions throughout the customer lifecycle. With the acquisition of HooYu in 2022 and the subsequent full integration of those platform technologies with our leading biometrics and existing computer vision solutions. We are strategically positioned to capture a substantial share of this expanding market and create significant value for our shareholders. In 2022, we launched Mitek's Verified Identity Platform, MiVIP, positioned as our leading growth product. This fully integrated identity platform leverages our IP into biometrics, capture computer vision and data intelligence and present it to the customer in a low code implementation model. Already adopted by leading banks, MiVIP has expanded our addressable market and delivered improved unit economics. Shortly following the close of fiscal 2022, we launched MiPass, the industry's first multi-modal biometrics solution for continuous identity authentication. With the onslaught of machine-driven attacks, voice and face biometrics used together with built-in liveness checks becomes the strongest and most effortless things to authenticate somebody's identity online. I couldn't be prouder of the team's vigilance in getting this product to market and I'm eager to see it implemented as quickly as possible from those who have already purchased it. MiPass further expands Mitek's footprint in this category as well as our overall addressable market. During the past quarter, I had the privilege of attending our Annual European Customer Summit, where I had the opportunity to engage directly with our valued customers. It was an incredibly insightful experience. As I've heard firsthand about the value of our company is creating and the ongoing battle against digital identity fraud. From large multinational banks to government-associated screening agencies, our customers use our identity verification solutions to enable effortless and seeks experiences with their new and returning consumers. Their testimonials serve as an evidence of our commitment to combating fraudulent activities and providing innovative solutions that address the evolving needs of the market. We are proud of the positive impact we are making and we remain dedicated to advancing our technologies and delivering even greater value to our customers in the fight against digital identity fraud. In fiscal 2022, our identity business grew 31% year-over-year. Our product achievements and customer wins in fiscal 2022 reaffirm our leadership position and I would like to thank every Mitekian worldwide for their unique contributions to our success. Together, we will continue delivering significant value to our customers. Before closing, please note that we are planning an Investor Day event for later in the calendar year. This will be an opportunity for interested parties to attend a dedicated event to learn about our long-term strategy with specific detail on the next chapter of the deposits business and the significant growth opportunity for our identity products. Now, I will turn the call over to Fuad to discuss the financial results in more detail. Following Fuad's remarks, we will open the call for questions. Fuad, please go ahead.
Fuad Ahmad: Thanks, Max, and thank you, everyone, for joining us today this afternoon. I will start with Q4 revenue and operating results. For Q4 of fiscal 2022, Mitek generated $38.8 million of revenue, a 17% increase year-over-year. Software and hardware revenue was $19.8 million, up 11% year-over-year. The increase in software and hardware revenue is primarily due to the growing contribution of ID R&D as ID R&D had another strong quarter and continued mobile deposit reorders. FX, we are pleased with the continued progress in the deposit business. As we've noted previously, ID R&D revenue is transactional in nature and is part of our identity business. However, since it's offered on-prem, we put that revenue into the software line for accounting purposes. Services and other revenue which includes transactional SaaS revenues, maintenance and professional services revenue was $19 million for the quarter, up 23% year-over-year. Notably, our transactional SaaS revenue increased 31% year-over-year to $13.4 million . Driving this growth in transactional SaaS value was increased Mobile verified volumes as well as the addition of HooYu SaaS revenue. For Q4 2022, deposits revenue increased 7% year-over-year to $23.6 million, driven by global deposit reorders. Identity revenue increased 34% year-over-year to $15.2 million driven by addition of the new SaaS revenue and strong contribution from ID R&D and growth in our Mobile verified product line. We delivered software and hardware gross margins of 98% for the quarter. Gross margin on services and other revenue was 74% for the quarter and total gross margin for the quarter was 87% compared to 90% in Q4 of last year. Total GAAP operating expenses, including cost of revenue were $35.8 million compared to $29.3 million in Q4 of last year. This increase is due to investments into our identity business and additional costs associated with the acquisitions ID R&D and HooYu. Sales and marketing expenses for the quarter were $10 million compared to $8.4 million a year ago. R&D expenses were $8.3 million compared with $8.2 million last year and our G&A expenses were $8 million compared to $6.5 million a year ago. The GAAP net loss for the quarter was $300,000 or a loss of $0.01 per share. Our diluted share count was 45.3 million compared to 46.2 million a year ago. Now turning to our non-GAAP results. Non-GAAP net income for Q4 was $9 million or $0.20 per share, a decrease of 11% year-over-year as a result of additional headcount and other expenses from the acquisition of HooYu. We believe non-GAAP net income provides a useful measure of company's operating profitability and cash flow by excluding amortization and acquisition-related costs, stock compensation, one-time and non-recurring litigation expenses, amortization of debt discount and issuance costs, restructuring and related tax impacts of those items. Reconciliation of GAAP to non-GAAP presentation is provided in our press release issued earlier today. Now looking at results for the full year fiscal 2022. Total revenue was a record $143.9 million, an increase of 20% year-over-year on strong growth in the deposit business that grew 14% and the growth of our identity product lines that grew 31% over fiscal 2021. Software and hardware revenue was $72.9 million, up 21% over the prior year due primarily due to growth in mobile deposit and our Check Fraud Defender product lines as well as the growth in ID R&D. As a result, our gross margin decreased 200 basis points from 96% in fiscal 2021 to 98% in fiscal 2022. Services and other revenue was $71 million for fiscal 2022, an increase of 19% over $59.7 million in fiscal 2021. This increase is due primarily to growth in transactional SaaS revenue, which increased 25% to $50.3 million. Gross margin on services and other revenue was 74% for the year compared to 80% for the comparable period in fiscal 2021. For our full year fiscal 2022 deposits revenue increased 14% to [$5.8] (ph) million, driven primarily by continued adoption of Mobile Deposit and Check Fraud Defender product lines. Identity verification revenue increased 31% to $58.1 million driven by 25% growth in transactional revenue, SaaS revenue, and inclusion of additional SaaS revenue from acquisition of HooYu. Total GAAP operating expenses for fiscal 2022 were $132.6 million, an increase of 24% compared to total operating expenses of $106.5 million in fiscal 2021. This increase is due to additional investments made throughout the year to fuel our growth in the identity business and additional costs associated with the acquisition of ID R&D and the inclusion of additional headcount and expenses from the acquisition HooYu. GAAP net income for fiscal 2022 was $3 million or $0.07 per share compared to GAAP net income of $8 million or $0.18 per share for fiscal 2021. Non-GAAP net income increased 16% for the year to $39.6 million or $0.87 per share compared to non-GAAP net income of $34.2 million or $0.76 per share in fiscal 2021. Again please refer to the reconciliation of GAAP to non-GAAP presentation in our press release. Fully diluted share count for fiscal 2022 was $45.8 million for both GAAP and non-GAAP EPS. Now turning to the balance sheet. We generated $10.3 million in cash flow from operations during the quarter and $26.4 million for the full year, bringing our total cash and investments to $101 million as of September 30, 2022. As noted recently, we continue to generate meaningful cash flow from operations. Our cash and investments at the end of March 31, 2023, increased by $30.5 million to $114.5 million. Moving on to guidance. We are reiterating the fiscal 2023 guidance we provided earlier this month. We expect revenue for the fiscal year ending September 30, 2023, to be in the range of $163 million to $165 million, an increase of approximately 14% year-over-year from the midpoint of the guidance range. In addition, Mitek expects its full-year fiscal 2023 non-GAAP operating margin to be in the range of 29.5% to 30.5%. In quarterly, we are pleased with our results, which included record revenue for fiscal 2022 as well as record non-GAAP net income. We look forward to continue to deliver industry-leading fraud prevention identity service to our valued global customers. With that operator, that concludes our prepared remarks. Please open the line for questions.
Operator: We will now begin the question-and-answer session [Operator Instructions] Our first question is from Mike Grondahl with Northland Securities. Please go ahead.
Mike Grondahl: Hey, guys. In both Mobile Check and Mobile ID, could you talk a little bit about transaction activity and trends and pricing? Just trying to get a feel for volume and price trends in both areas.
Todd Kehrli: So for the periods that we're talking about FY 2022 in both total deposits, as well as mobile verify -- excuse me, the transaction volume has increased, right? So we continue to see increased transaction volumes from existing customers and then the addition of new customers for the identity verifications and for mobile check deposit similarly, although, as you know, Mike, that business can be a little lumpy, and when customers reorder or when those orders actually hit and you refill the tanks. I think in the case of Mobile Deposit, we know that we have continuously tried to push price and be able to push price increases we've been methodical about that. I think it's no surprise. Our partners and customers pushback on equity part, but we've been able to do it consistently. And that has set us continued to see that reflected in addition to the adoption of mobile banking and increased usage of Mobile Check Deposit, you're seeing the other side of that which may be the increase in pricing.
Mike Grondahl: Got it. And then, are you breaking out the number of banks you have signed up for Check Fraud Defender or the revenue in the fourth quarter of 2022?
Todd Kehrli: No, we're not. And you probably won't see us do that for a while. We continuously increase the number of customers, but it's coming off a very small base we're watching some customers adopt and jump straight into the network and use the online offering. Some are starting with a small on-premise implementation to kind of get their arms [indiscernible]. But I think we'll talk about it when we drop the queues as well. We continue to see just a big, big interest in that product pipelines are strong. We do testing with customers, pretty elaborate testing with customers and we've got a number of those underway. I think as we've talked before, Mike, just Check Fraud has exploded in the course of the last 18 months. So this is a very big topic for retail banks.
Mike Grondahl: Sure. Yeah, no, we're trying to track it. So the number of banks or revenue, I guess it will keep bugigng you. Lastly, what should our expectations be for the timing on the 10-K and then December and March?
Fuad Ahmad: Yes, Mike, so I think news release our numbers now are unaudited. We will follow it up with the 10-K with the next week to 10 days. We're talking about -- we just need to -- we can make sure that we get everything buttoned down, but we felt comfortable releasing the numbers today to you guys. In terms of Q that process will continue once the K is filed and we feel that in a few weeks we can be more precise on that at this point. So in weeks not months we will follow it up and the idea for us our expectation is to start becoming current on our filings soon after that in its entirety including Q3. So that's the expectation right now. I can't be more precise on the quarterly numbers as of today.
Max Carnecchia: But we are looking forward to getting back on a regular schedule.
Mike Grondahl: Sounds good. Sounds good. Hey, thanks, guys.
Max Carnecchia: Yeah, Mike.
Operator: The next question is from Jake Roberge with William Blair. Please go ahead.
Jake Roberge: Hey, thanks for taking my questions. Max, could you just talk about how the macro is impacting each of your business units more specifically? From your comments, it seems like ID verification may be impacted a little bit more than Mobile Deposit, but we would love to hear kind of the puts and takes that you're seeing in each business as it relates to the macro.
Max Carnecchia: Yes, I don't think in the timeline that we're talking about here FY 2022 and September any quarter, there's probably not a lot to talk about from a macro impact, a little bit on the identity. We had a very relative to our competitors in the identity space, we have very little exposure to crypto and it was at June of 2022, July and then kind of a crypto went through that follows from there. We had a handful of crypto customers who watch them retrace pretty hard, but nothing more kind of pointing out. Since then we get into the queue definitely the law has changed and in some regards we just started off check for our defender and all the things that are happening with Check Fraud. I think that's been a positive on our deposits business. On the identity business if you're interest sensitive business like mortgage refinancing or blocks and things like that, we seem to be tough on those businesses. So more to come as we drop those skews, Jake.
Jake Roberge: Okay, helpful. And then, just wanted to touch on Generative AI. It seems to me like there could be some secular tailwinds around AI and how that could impact the fraud and identity universe. But would love to get your thoughts on that. And then how you could plan to integrate the technology in your core platform?
Todd Kehrli: Sure. So much inconsistency still on Gen-AI. I want to be -- I won't be mindful that I don't know that I have a lot to add. We're generally is clearly going to be transformative. In our business we see us through two lenses. The first is what we will be able to do using the technology. I mean, we've got very long and robust history with machine learning and AI. So this is just built on top of a very deep base of that knowledge and experience our engineers and scientists have. So our ability to use that in model building, model testing, and that's already underway. I mean, you see it with our biometrics teams. We're seeing the core identity teams around documents, the basis of voices. So in that regard, I think there's some very interesting things for us to increase velocity of development, new ideas that could be tested much more cheaply or much more quickly. That's for us internally and things that then result in customer-facing offerings. I think the bigger challenge, just generally, not just for banks, but for anybody out there, right? These same tools can be used as weapons and we anticipate we're already seeing the deep fakes and the kind of things that could happen owing to the faces and every other images and videos all stuff that you're seeing every day that can be applied towards trying to create identity fraud with banks with other finance financial institutions. So I think it just puts a bigger focus and more meaning on having the right defenses and partnering with the right organization like Mitek.
Jake Roberge: Yeah, agreed. Very, very helpful and that interesting opportunity as we move forward. And then if I could just sneak one more in. I understand you've been working a lot with your consultants and auditors, but what is your dialog with the NASDAQ looks like throughout the process and what type of feedback have they've been providing you on regaining compliance just over the past few weeks since we passed over that June 12 timeline?
Max Carnecchia: Sure. Well, you know, Jake obviously NASDAQ was the market that we sit on, the SEC is the regulator, and being current with the SEC is the requirement for the NASDAQ. So NASDAQ has a very rigorous and structured process under which we're currently working. I think we're working at a very positive and constructive way with them but we're late, right? So we've brought in advisors. As you mentioned at this point we have high confidence, based on the performance of our business. The fact that we are cash flow positive and cash in the bank. We continue to grow. There are no allegations of misconduct here. We have high confidence that we will regain that filing status. Hopefully the NASDAQ is the arbitrator, the ultimate arbitrator of that. But working hard towards it every day.
Jake Roberge: Very helpful. Thank you. Thanks for taking my questions.
Operator: The next question is from Stephanie Moore with Jefferies. Please go ahead.
Stephanie Moore: Hi, good afternoon, and thanks for the update. I wanted to touch on your targets for your ID segment and the target to turn a profit in 2024 the second half of 2024. Could you maybe talk a little bit about what you need to see for that target to be achieved, what needs to happen maybe is for that to happen earlier or on the flip side, what could delay you can actually achieving this target? It would be helpful. Thanks.
Max Carnecchia: Sure. Well, thanks for the questions, Stephanie. For those who maybe a little newer to the story, we've been working -- we've got a very profitably deposits and we want to get our identity business to that as well. We've seen that by the end of fiscal 2024, we'd like to be able to get to breakeven with that business, with the identity business put that in isolation. And we believe we're on path, but still the current is next year. The things that could make that happen sooner is the top line growth happening faster. The things that could make it takes longer is if we didn't get the top line, that we're currently forecasting that we're guiding to here in the current guidance. When I kind of think about as we've laid those markers down and we've worked to operate the business both in our budgeting and then day-to-day discipline of living those budgets. Probably the biggest thing is, the world has changed pretty considerably in the course of the last five quarters relative to just uncertainty in the macroeconomic circumstance. So I think that's probably the biggest unknown or biggest question mark.
Stephanie Moore: Great, that's really helpful and appreciate it. And I know that the last time we spoke a couple weeks ago, I think you touched a little bit about maybe within the ID business a slight shift in strategy where you're offering your customers more of an end-to-end platform kind of managing their entire life cycle. Could you talk a little bit, I'd love to hear because I think it's really an interesting point, if you could kind of speak to any cross-sell opportunities do you think this opens up or pricing or why this is you've kind of come to terms that this isn't the incremental kind of right strategy versus maybe what you were originally thinking about as you are moving inside the space and I'd love to hear kind of the opportunity there. Thanks.
Max Carnecchia: Sure, thanks. Well, I think this is not some sudden change or anything like that. I mean, we've been working towards this for the better part of three years. It was the underpinning of the acquisition of ID R&D from a world-leading biometrics capability in liveness and then really the foundational associated with the HooYu acquisition and capturing a platform an end-to-end easy to manage no-code local platform for orchestrating multiple signals, not just for onboarding new customers and opening new accounts, but those in the life, the lifecycle use cases a persistent identity for knowing your customer and being able to do it [indiscernible] checks well after somebody signs up for a new account or a new card or something. So that's been the strategy here going back three years. I think we've been able to fine-tune it as we go. That's where the market is. That's where the market's going. And I think we're very fortunate to have not just capture the incredible capabilities or the talent and the teams that go with that. And you'll see us continue to leverage that, continue to evolve that strategy so that it's beyond it and not just beyond identity but identity and fraud and you're starting to see that with the first signals that we're getting as a result of our deposits business and being able to intersect our deposits business with Check Fraud Defender as a broad signal with our identity business.
Stephanie Moore: Great. Really appreciate the time. That's all from me. Thank you.
Max Carnecchia: Thanks, Stephanie.
Operator: [Operator Instructions] The next question is from Allen Klee with Maxim Group. Please go ahead.
Allen Klee: Good afternoon. Can you give us some color on how you think about the relative growth rates of the deposits versus the identity business in fiscal 2023?
Max Carnecchia: Sure. Hey, Allen, we're probably not going to break the guidance down by line of business, but I'm happy to give you a sense of it. We've expected that and I think we're on record and it's been a while since we've talked about it. But we are on record relative to the deposits with Check Fraud Defender and many of the new things that have been introduced and we see that business as being a high-single digit, low double-digit growth business. Obviously, we just talked about fiscal year 2022 and 14% growth, so very much on the high end of that range. But I think we stand behind that. We anticipate that the traditional Check business will slowly modulate relative to its growth and will continue to grow. Just maybe more gross fastest in 2021, 2022 and that will be offset by the continued uptake of Check Fraud Defender. So that's on the deposit side. And on the identity side, we definitely see the market for identity being a little different, not just for us but the market itself being looks different today than it was year, year-and-a-half ago. But the idea that we can deliver high-teens growth in that business in FY 2023. I think that's a good number, maybe a good range to have in your mind.
Allen Klee: Thank you. And when we look at operating expenses, how do you think about to the extent that you're kind of positioned that you've already spent for some future growth or do you think that this continues to kind of grow kind of in track with revenues?
Max Carnecchia: Yeah, I would say without getting into very specifics or maybe Fuad has something to add here but as we get bigger with scale, we should be able to increase our leverage. We've done a lot to integrate both the ID R&D and the HooYu teams, product, systems. So, starting to get some of the synergies and starting to see that kind of make its way through the P&L. But as we continue to grow the business, we expect that we're going to be able to take more and more to the bottom line to be able to expand operating.
Fuad Ahmad: And I just kind of add a little bit. I don't think you see that in our guidance for 2023, that our operating, and non-GAAP operating margin guidance is 29.5% to 35% and on the high end it's higher than where we ended 2022 at and we're still obviously growing the business and consolidating and going through consolidation of the HooYu business and the synergies that will come from that so we will have to be included in. But despite all of that, we're projecting slightly higher non-GAAP operating margin for 2022.
Allen Klee: Thank you. Last question is, do you think once you caught up on your financials that you might be able to release your Qs and Ks on the same day that you report your earnings?
Fuad Ahmad: At this point, I wouldn't set that expectation. I think we will do that in sequentially and that's just the way the auditor profits to work. They will complete all their work for fiscal 2022 and then they'll move to 2023. So we'll do that sequentially. As I said earlier on the call, we'll be talking about at least 10 days for the K and then weeks after that for the Qs after the auditors finish their work and completed, then we'll release those and with the expectation that we get back to the normal cadence starting in Q3 and thereafter.
Allen Klee: Okay. Thank you very much.
Fuad Ahmad: Thanks, Allen.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Todd Kehrli for any closing remarks.
Todd Kehrli: Thank you, operator, and thank you, everyone for joining us today. We look forward to updating you again in next quarter. The call has concluded, and have a wonderful day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.